Operator: Good morning everybody and welcome to the interim results and we’re going to start proceeding with some words from our Chairman, Daniel Bernard. Daniel?
Daniel Bernard: Good morning, ladies and gentlemen. My name is Daniel Bernard. I am the Chairman of the Kingfisher Group and I am delighted to welcome you today for our interim presentation. Before I give back the mic to the executive team for the usual review of the interim results, I would like to tell you about the decision we have announced today regarding Group Chief Executive Succession. As I sure you would expect the Board and Sir Ian Cheshire discussed succession as part of our regular planning meetings. After a busy and successful seven years as Group Executive and with a significant phase of development in front of us we all agreed the need to clarify future succession. The next five years will be particularly busy as we deliver group best in class IT customer data and omni-channel capabilities as we expand Screwfix and Brico Depot into new markets, as we complete our common brands and common assortments program and subject to completion integrate Mr. Bricolage with Kingfisher’s businesses in France. This will be a huge commitment for the Group Chief Executive and we have all agreed that now is the best time for transition to the next generation. Accordingly as you have seen from our announcement this morning, Ian will be passing the baton to Ms. Veronique Laury by the end of the current financial year. There will be of course a full transition process over the coming months before Veronique takes over. Ian will remain on the Board until the end of our financial year leaving on 31st of January 2015. In this time as Group CEO, Ian has transformed Kingfisher into a stronger business with a bright future during and despite a very difficult economic time. During his tenure reported sales grew 23%, adjusted profit before tax doubled and Kingfisher’s market cap increased by 3.8 billion, an increase of 112%, and 1.6 billion of financial debt was eliminated leaving the business financially strong and strong enough to commence a capital return program to our shareholders in 2014, the first in Kingfisher’s history. Ian also leaves a strong sustainability legacy in net positive and an impressive management team throughout the businesses. And moreover I would like to say that it has been a great pleasure for me to work with Ian and on behalf of the Board of my colleagues and all the colleagues of the group, I want to thank him for his successful leadership. It has been a great phase in the life of Kingfisher, bravo Ian. Following a rigorous review of candidates, internal and external, I am delighted that Veronique Laury emerged as a clear favorite for Group Chief Executive. I know many of you here, you know, many of you know already and you can have contact with her. As you know, she is currently Chief Executive of our big and successful business in France Castorama. Please Laury could you stand up and say some words to introduce yourself?
Veronique Laury: Thank you Daniel and the whole Board for this trust and for giving me this great opportunity to build on Ian legacy and as well to lead Kingfisher in to a new phase of journey. I would like really to say a specific thank you to Ian for his mentoring all along my 11 years at Kingfisher. I would never be there without him and I really would like to thank him. And I would like this morning as a start to share three things with you. The first one is about my career as I am used to describe my career; I say always I've dedicated my whole professional life to home improvement. You will join me to say that for as a woman it’s not very sexy. I know that already I have a new name which is Madam Bricolage and I promise you that in French it’s not sexy at all but anyway I will ask to cope with it. More seriously having sorted out what was my purpose I think my purpose is really to help people to improve their life by improving their homes and when I’m saying it I’m meaning it, so that’s the first thing. The second thing I would like to share with you about me is as you can see on this CV I’m a long lasting person. I'm really; long term and Q2 focused and court in the reality, the reality of people’s lives, the reality of our employees, the reality of our businesses. And the last thing and I try to always focus on the task what needs to be done. The last but not least thing I would like to share this morning is about the potential of home improvement. Having travelling in lots of different countries and specifically countries where Kingfisher is, I firmly believe in the potential of our home improvement industry, you just need to look at the home of people from outside and from inside to see it. We need to work hard to realize it and to answer peoples need. As a conclusion I would say that, I promise you that I’ll put all my energy and my enthusiasm in leading Kingfisher into its next phase. I will put as well my confidence and my knowledge and I’ll build on it and continue to grow it. My ambition for Kingfisher as an organization and with all the teams of Kingfisher then Ian has been building is really to make Kingfisher the leading home improvement group in the east part of the world. When I say leading I mean the group which change peoples' lives that’s my definition of a leading company. Thank you very much and I now hand over to [Ian].
Daniel Bernard: Thank you, Veronique. Not much to add to what you say. I believe she is an outstanding retailer, best qualified to lead us to the next stage which is complete the new cycle. She knows our industry as she told already very well and she is a strong retailer, passionate about customers, passionate about people, passionate about products. And she was too modest to tell you herself that last year she was voted personality of the year in France by Elisa magazine which is equivalent of retail reach which is also Retailer of the year for the National Federation in the U.S. So to conclude, we’re in good shape after a successful seven years under Ian and the time is now right for succession. We’ve an excellent new group CEO, Véronique to lead us to next exciting phase and she will be supported by a strong team in the operating companies. Our strategy is of making home improvement easier for our customers while creating competitive advantage from our international scale and our portfolio of no house is a right one. Fresh enthusiasm, energy and pace in our leadership will ensure we successfully execute this strategy rapidly and deliver profitable growth for our shareholders. Thank you very much.
Ian Cheshire: Thank you very much, and particularly to Daniel and Veronique for those kind of words. We’re going to run through the agenda today, a quick summary, a slide of introduction from me but I’m really pleased to say that I’ve finally managed to get other people to do most of the work which also not managed in our 7 years finally going out with the right story. Financial review from Karen and then important intervention from Kevin in terms of progress report on B&Q in the UK and Ireland. I will then come back and cover the rest of the group and we’ll deal with questions at the end obviously on any of these topics. So, in terms of the summary, the results we published today, I think are evidence of a solid business performance in markets that have been particularly easy, particularly in France. In terms of retail profit pre the FX impact, 3.3% growth actually I think the underlying growth is more like 6% based on excluding the new countries we developed in Romania and Screwfix in Germany. I think that has been most credit to the teams in terms of the work that’s been done particularly on cost of margin and I’m pleased to say that the results look like they’re slightly ahead of the result of the consensus for the half year. Obviously we then have 12 million of FX impact mostly from the euro and also from Poland, the zloty. I think the key thing, which we’ll come back in the detail is the French market which we updated on the data in June and July, we don’t -- wouldn’t normally update on August but this time we’ve, just to provide some reassurance that actually the market seems a bit more stable in August and although that’s one month, and I obviously caution too much trend setting on that it is our biggest month, so it is an important factor for us. And priority is still on track strategy in terms of creating leader and we’ll update on some of the detail there, but I think the two things I want to just highlight before I handover to Karen, one is, there is real energy back in B&Q, there is momentum it’s at its best first half sales growth in nearly a decade and double-digit profit growth. And there is some sort of noise around B&Q if it’s not got the share of upturn I believe that’s absolutely not the case and we will talk about that today. And I think the team has started to bring some momentum to the business. I’m really pleased; I’m impressed by the way, Kevin and the guys have got into their task. And secondly and finally before Karen, we are announcing today the restart if you like it all, our share buyback and there was some puzzled people saying why weren’t we buying back. I hope you can understand that if you’re in the middle succession process, you can’t actually go out and buy shares in the market. So it wasn’t the lack of faith or belief in our business and we will be doing the remaining 55 million. And the next year the Board will consider again shape of the balance sheet and the opportunity, because we do see this as a multiyear return process. So those are the highlights. We’ll go straight into financials now and ask Karen to come up.
Karen Witts: Thanks Ian and good morning everyone. I think we’ve got a lot of cover today so I better just plunge straight into numbers. Group sales are 5.8 billion for the half year grew by 4.6% versus the same period last year on a constant currency basis, with Group-wide like-for-like sales up 1.8% year-on-year. Adjusted profit before tax £364 million was flat year-on-year, but as Ian said this was after the impact of the £12 million negative variance from foreign exchange and retail profit. And retail profit was up 3.3% on a constant currency basis and then if we exclude the cost of entering into new markets, it was up 6%. Underlying net interest cost of $4 million was slightly higher than last year due principally to a non-cash net interest return on our defined benefit pension last year becoming a non-cash net interest charge this year and this is driven by accounting treatment of the pension deficit. Our effective tax rate was 27% consistent with the rate of the same period last year, adjusted earnings per share of £11.3 was also the same as last year. A year ago, we announced the successful resolutions of the Kesa demerger French tax case and recognized a £145 million exceptional credit to the P&L and this was a large once-off. Exceptional items for this half year are much smaller £11 million credit. This movement on the release of prior year’s tax provisions explains by statutory post-tax profit has declined to 277 million this year. And to help understand the underlying results as in previous announcements I’ll focus my commentary on an adjusted basis, but firstly, I'll get you through the items treated as exceptional this year. The £11 million exceptional credit at this half year includes the first launch of B&Q transformation. Kevin will explain the detail in the B&Q business update that briefly as B&Q involved from old retail to new retail under the series of focus will be on increasing productivity through process simplification. The £11 million credit at the end of the first half includes the charge of £6 million to the B&Q program a cost of £5 million relating primarily to acquisition cost of Mr. Bricolage offset a £21 million profit on the sale of properties and a flip back between the balance of the year partial sale in the UK and the sale of the French property. For the full year in 2014, 2015 the net exception charge for B&Q is expected to be around £17 million excluding the Belvedere proceeds and a £1 million charge on the net basis. Free cash flow for the half year was £383 million down 12% versus the prior period I got a slide which gives more detail on this. Our reported net cash position is strong. We have just under £500 million of net cash on our balance sheet compared to £259 million at the same time last year. It is worth noting that this figure includes nearly £200 million that we received on disposal of our Hornbach Holdings, and that this balance is also before we make any payment in respect of the proposed Mr. Bricolage acquisition. As previously announced the overall enterprise value of Mr. Bricolage is around €275 million. Overall earnings this year was flat with 1% increase in our interim dividend to 3.15 pennies per share and shareholders have also received an additional 4.2 pennies per share in the form of the special dividend which was paid on the 21st of July. This special dividend was part of our 2014, 2015 £200 million capital return. And then let me take you through the results by geography. And let's start with France. The trading in France remains challenging and has been a bit unpredictable. In February to May we saw the market rise a little held by favorable weather conditions and then we see it’s a sharp downturn in June and July. We explained this in the event of July sales release. We think to assess the trading in August, which is a big month for us before we commented further on the situation. I can see the August trading improved slightly as you can see from this slide with like-for-like sales down 0.6 of Castorama and down 4.3% of Brico Depot. Development activity was a bit lower than last year, but we still added 2% more new space from one net new store and two stores revamps. And we also converted two Castorama stores into Brico Depot. Despite the external environment, total sales in France grew by 0.4% down slightly 0.8% on a like-for-like basis. We used the benefits from self-help measures to offset promotional activity to stimulate sales and margins increased by 30 basis points. There was continued focus on cost reduction initiatives. Retail profit of £182 million was flat on a constant currency basis, but down 4.8% at reported rate reflecting the weakness of the euro. Castorama France total sales grew by 0.1% to £1.2 billion. Like-for-like sales grew by the same amount benefiting from growth in seasonal sales particularly in the first quarter. The trade market in France continues to be heavily impacted by a slow house building market and in Brico Depot which is highly correlated to this market like-for-like sales declined by 1.9%, but total sales were up 0.8% reflecting some increased space. Now let’s move to the UK and Ireland, where in contrast to France, we are experiencing better trading conditions, particularly in smaller tradesman market as housing activity, housing construction and related activity improves. Profits in the UK and Ireland were up nearly 18% on year-on-year to £166 million as total Kingfisher’s sales in the UK and Ireland of £2.4 billion were up 6.6% and like-for-life sales were up 4.4%, on a value basis, the comfortable UK market improved by 5.5% versus Kingfisher UK sales, which were up 5%. UK and Ireland gross margins were down 80 basis points in the first half reflecting the recognition in the first quarter of this year of B&Q’s promotionally-led showroom sales and strong seasonal sales. Quarter two margins were up 40 basis points. B&Q total sales grew by 4% to more than £2 billion and like-for-like sales were up 3.2%. Sales results reflected the generally better weather in trading condition. Sales of outdoor season and building products were up around 6% driven by the strong first quarter. Sales of indoor products excluding showrooms were up around 3%. And after the heavy promotion of showroom category in quarter four last year, sales of showroom products were down 1.5% reflecting lower levels of promotional activity in the second quarter, and Kevin will talk about the showroom category later. Screwfix is doing very well and continued as very strong performance in the market and grew sales by more than 23% to £386 million benefiting from an improved environment for smaller tradesmen, and from the opening of 24 outlets in the first half of the year taking the total to 359. Like-for-like sales in Screwfix were up nearly 12%. Now let’s look at the performance in our other international geography. We currently consider three of our countries as being in early development. These are Romania, Portugal, and Germany and I’ll cover these later. Total sales for other international operations increased by 8.8%, reflecting the growth of space, like-for-like sales grew by 1.6%. In Poland, total sales grew by 3.6% and like-for-like sales grew by just over 3%. Performance varied between an encouraging quarter one and a softer quarter two. In the second quarter, we saw similar sharp downturn in June and July to that which we'd seen in France and then like in France, we saw better trading in August with like-for-like sales up 3.3%. Margins in the first half of the year were up 60 basis points versus last year benefiting from the softer first half last year plus self-help measures. Retail profits in Poland was £54 million, up more than 5% as sales and margins growth more than offset into these variable pay and higher range of new cost. In Russia, sales grew 11.6% on a like-for-like basis to £212 million. Retail profit was £3 million slightly down compared with last year with higher advertising cost and foreign exchange impacting the cost space. Trading continues to be tough in Spain with like-for-like sales down 6%. The four new store openings have listed year-on-year sales by nearly 17% to £170 million and profits of £3 million were slightly up from last year. In Turkey, the early part of the year was impacted by political unrest in the country, but post-election results the situation now seems more stable. Our sales in Koctas grew by nearly 11% as we added three new stores and like-for-like stores were up almost 2%. Our share of retail profit for the period was £4 million slightly up year-on-year. The £11 million loss in China is disappointing and was significantly higher than last year but it reflects a slowing property market which was down nearly 18% year-on-year and impacted sales in our design center. We continue to look for a strategic partner in China. So now for a quick update on our new country development. We acquired the 15 store Bricostore business in Romania in May last year, in May this year we opened our first store in Portugal and today we’re announcing the opening of our first four Screwfix outlets in Germany. In Romania, we’ve converted the first two Bricostore to the Brico Depot format. These stores are outperforming the previous format, so we’ve taken the decision to accelerate the transformation of the others by converting a further six this year and Ian will talk about this. Sales in Romania for the first half of '14/'15 were £42 million with a retail loss of £6 million which includes conversion and brand development cost. The cost of entry into Germany and Portugal amounted to £5 million in the first half of the year and we expect the full year cost to be around £10 million as we previously announced. And now let’s take a review of the drivers of year-on-year profitability. There was quite a lot of activity within a flat year-on-year profit position and in this slide I’ve pulled out those red blocks, the £12 million negative foreign exchange movements and the blue highlights its number which separately identifies the cost of £11 million in relation to new countries as I’ve just described. In order to focus on the underlying trading and operating dynamics, I specifically highlighted the £18 million favorable variance in the UK. As I previously said the UK operated in a more favorable trading environment in the period and recorded 6.6% increase in sales and an increase in profit of nearly 18%. Whilst we’ve taken advantage of the positive market we have lost a little bit of market share in the UK. Margin was adversely impacted by the heavy investment in showrooms as well as the slight change in sales mix. And the shape of the UK reverses in our other operating companies with difficult markets being the drag factor particularly in France, Spain and China and this is largely offset by positive margin drivers including better buying. And finally, we’ve continued our cost management initiative which focused on store and staff efficiency, reductions in goods not for resale and optimizing advertising spend and distribution cost. Cost reduction initiatives have covered the impact of inflation and also the output cost pressures from additional store maintenance and bonus rebuild. As you may expect, although a bonus rebuild is a feature of the first half of the year, the rebuild in B&Q will be waited to the second half of the year. Kingfisher group generated £383 million of free cash flow in the period, operating cash flow was £93 million lower than last year driven by adverse movements in working capital. Because of the sharp sales downturn in the second quarter, stock levels at the end of the first half were relatively high but this stock relates to current ranges and we expect it to sell through by the year end. Tax paid was £26 million higher than last year reflecting the cash impact of the use of European tax losses last year and the way that payment on accounts work in different countries. The gross capital expenditure was slightly lower than last year reflecting changes in the timing of store investment. Our investments are waited to the second half of the year but this year we expect full year gross CapEx to be up to £350 million although the medium term guidance remains at £350 million to £400 million. Proceeds from asset disposals this half year was £47 million reflecting the part disposal of B&Q UK Belvedere store and the property in France. Net cash at the end of the period was £496 million up from £359 million a year ago. The £383 million of free cash flow generated was primarily used to return capital to shareholders in the form of last year’s final annual dividend, £100 million special dividend and £35 million buyback of our shares. This is almost double the return to shareholders. The proceeds from the disposal of the group shareholdings in Hornbach partially offset these outflows and we’re committed to returning £200 million to shareholders this year in addition to the annual dividend and as Ian said, the remaining £65 million of the capital return program will resume as a share buyback. Our capital expenditure profile remains confident with the picture I described previously. This still reflects our plans to develop stores in growing markets and particularly using the Brico Depot format as in Romania and further Screwfix rollout. We’re on track to open around 75 new stores this year of which 59 is Screwfix in the UK and Germany. Our IT modernization program remains on track and updates on which will be covered by Ian later on in the presentation. And our balance sheet position remains very strong, our net debt to EBITDAR ratio is lower than at the year-end driven by more cash on the balance sheet. We expect to complete the Mr. Bricolage acquisition around the end of 2014, 2015. If we were to include Mr. Bricolage in our net debt to EBITDA in our metrics today, it would end up close to the 2.3 times that we had at the end of the year. Our credit rating remains the same. Moody's and Fitch rate us at BBB flat equivalent and S&P at BBB minus on a positive outlook. As you’ve seen we’re investing in our business the returns are attractive, our dividend is growing and our capital return of £200 million in this year is on track. Our significant debt maturity is in December 2014, when the Group is acquired to repay medium-term notes with the national value of £750 million. The next update on our capital returns program will be on March 2015. And now let me hand you over to Kevin for an update on B&Q in the UK and Ireland.
Kevin O'Byrne: Thank you Karen, good morning. And I’d like to cover two topics with you this morning. I’d like to spend some time talking about what we’ve been focusing on and what we’ve delivered in B&Q in the first half and then I’d like to cover second topic just in a little bit of time on the plans we’re working on to simplify and grow B&Q over the medium term. Before I get into that I want to just spend a few minutes on just reflecting some of the things talked about when I saw you at the full year results in March. I talked about the fact that the UK market was under pressure and it's declined over a number of years but the Kingfisher in that time has been very resilient. I also reflected on the performance of B&Q and the fact that we’ve lost sales since 2008 and the business was under some pressure despite being the market leader and having a very strong brand in the sector. And reflecting on those lost sales we knew that we had to act decisively to reverse that trend. I talked about having three priorities at that stage. The first one being to strengthen the team, the second one being to reenergize the business, get momentum and belief back into the business, and the third one being to have incredible plans to simplify the business and grow the business over the medium term. On the first priority about the team, I’m not talking going to talk a lot about that today I covered it the last time. We have made material change in the Board and the teams below 80% of the Board are different and I’m really pleased that in our Capital Day in October that I know some of coming to you, you’ll get a chance to meet a member of the Board team have been working very hard since they joined the B&Q Board, harder than they expected, I think. But today I’m going to talk about the other two priorities the reenergizing getting belief back in the business and the plan. Just on the first topic, and what we’re doing in the first half, we spent a lot of time and then took material actions to strengthen our price position making our pricing clearer and making it simpler, more confident in front of our customers. We’ve lowered 3500 prices in the half, we changed all the point of sale in all 260 stores and we went to round prices on the ends to really communicate the value we’re giving customers. We removed all claims in the stores which you may have noticed. And at the end of the day claims with high price retailers hide behind, so we’re very clear what our prices are. And in some categories where it’s been helpful we’ve simplified the number of prices in a category and one of the things you see is on the fly but also in the fly that’s on our seat, a recent promotion in laminate flooring where we’ve gone from 21 prices than the three prices to make it really clear for customers easier for them to shop. Now the great thing about the change in the pricing work that we’ve done it is better for customers they understand the better. It is easier for our stores because of the changes, we’re having fewer changes in the stores and it’s cheaper for B&Q implement. So positive on all fronts. We also took a number of actions to highlight the great value that we have in the store. We introduced what we call doorbusters and again you can see some in the Karcher washer or the storage units on the back of the recent flyer. These are very big weekend deals at great prices to drive the footfall into the stores. And again some of the examples on the slide there, we sold 1200 Flymos in two days and over 50,000 orchids in a weekend. So these promotions are working and they’re very similar to what you see in Brico Depot; what they call arrivages in Brico Depot. And as we go forward we can buy these promotions together in the Group and offering great value to our UK customers. We focused a lot of efforts on selling more what we call core DIY products. These are products that should be in every house in the UK, gloves, buckets, sealants, Polyfilla and masking tape. We increased the number of displays of these stocks in store; we increased the stocks of these stocks in-store. We reduced the prices where necessary on these products and we’ve had an incredible reaction. We increased the volumes of these products by 30% in the first half and one in every 10 customers in the store has one of these products in their basket now. So we’re very pleased with that, it's got real momentum interest. Also since we spoke last we’ve reenergized the marketing in the business. We re-launched the brand marketing and hopefully some of you have seen that with the unleashed campaign where we’ve highlighted the famous bib and the bucket and it’s brought a real momentum into business and the pride back into the stores and it’s been very well received by customers. At the same time we’ve launched the flyer and that’s gone from strength-to-strength. We’ve issued 48 million of these. These are delivered to homes or put in newspapers to homes. The 48 million were delivered to customers over the half year and the flyers do three things for us. They tell customers about the great value of B&Q, they tell customers about micro seasons; and they tell customers about our range authority. And they are working very well driving footfall and also helping us to get a trading rhythm momentum into the stores. We reduced our spend on national press. We cancelled all our sponsorship and we increased our spend on digital marketing. And the good news is that we’ve had a much bigger impact in the half and we spent less on marketing than last year. Just looking a bit more broadly across the markets, what we saw as we anticipated and I think as we discussed with you before a stronger year-on-year growth in the harder type categories and a modest growth in the more softer DIY type categories. And you’ll see from the slide that retail sales were impacted negatively by the fact we didn’t push hard on kitchens in the second half or the second half of the half. And I’ll talk more about that in a few minutes. I also wanted to just spend a few minutes on just looking at the comparative in the market. It is very difficult as we know and it’s easy to get confused when you look at the comparatives between different retailers because sometimes there’s a slight different definition of like-for-like and rarely is a reporting period the same. So this chart just lays out our sales against the same reporting period and we’ve compared B&Q to home based and we’ve compared our similar brands to the Travis consumer brand, which includes Toolstation so we’ve included Screwfix. And what you can see is that B&Q, in that period grew faster than home based and the like-for-like at home based of course are impacted positively by the fact that they've been closing weaker stores and of course those weaker stores there’ll also be some sales transfer to strongest stores that are left. If you look at the Travis numbers and compare the Screwfix and B&Q numbers, the like-for-like and total sales are stronger. This is wrapping up on the first half; in the first half at B&Q, we focused on a number of things getting back to great retail basics, getting back to better execution and putting the customer at the center of what we do. The net result of this activity is that for the first time in five years, we have more customers in shelf, buy more products, and we’ve seen real momentum back in the business with like-for-like sales positive on a one-year and on a two-year basis. We’ve lowered prices. That’s improved our value perception and we’re delighted that volumes are growing almost 5% like-for-like because we know the volume growth is essential to a retailer. While our volume share grew in this half our value share didn’t almost entirely because we stopped pushing on kitchens and I’ll talk more about that in a minute and I am encouraged that a number of lead indicators like the price perception, like the volume sharem like the staff engagement have improved in the half and these are very important. There is a price perception chart as you can see. These are numbers from an independent YouGov survey. And what we’ve seen in this period is that we’ve reduced the gap against the discounters and we’ve increased our price perception even further against traditional home improvement retailers. And at the same time profit is up double digits in the half contributing to the 18% growth that Karen talked about in the UK. And the growth in profit in B&Q is after investing in more bonuses, more essential maintenance in stores and more IT replacements, which I just said I would do when I spoke to you in March. And I really just like to take a minute just to congratulate the team in B&Q for these results and also Andrew and the team in Screwfix for a very incredible credible profit contribution to the Group in the first half. That’s all I wanted to cover on the first half and I'd now like just spend a few minutes and talk about what we’ve been doing to work on the plan to simplify the business and grow the business over the medium term. Our ambition as a team is to rejuvenate the business model, so that it is very relevant for customers in the digital age. And the great thing is that many of the strengths of the DIY model are very relevant today and still resonate with customers. Great value in the stores, great volumes, stock available to takeaway today, all your projects meet under one roof and of course help from knowledgably staff. And we do know that customers now have more choice then they had before, so we’ve got to raise our game on all of those elements as things have changed and that’s what we’ve been working on and I’ll talk a little more about the work on offer in a minute. We need to of course combine these great strengths, these rules, these principles of home improving retailing with the new digital area. We need to have really good click and collect, drive customers to our stores. We need to have extended ranges online that absolutely complement the ranges in the stores. And we need to have better content online to help people shop, plan, and do their projects. And they may do that online. They may come into store and do that but the content is critical. And I believe the combination of the roots of our business with these new digital skills and assets will be greater than some of the parts that really will be a case of two plus two equals five. And while DIY as we know and I talked about it in the March is the sector that has relatively fewer sales online than some other retail sectors. We know it’s changing fast and I am delighted with the new managements that have come in from Screwfix. We’ve been spending more time and resources on this area in the last six months and trying to turn plans into actions and we recently relaunched diy.com and a new click pay and collect service and the way we relaunched that we’re using exactly the process, the tried and tested process in Screwfix’s we launched to elements of customers. I think as of today something between 15% and 20% of customers are on the new site and probably in about two weeks' time a 100% of the customers will be on the new site. Now to transform the business and achieve our object as you can imagine we've got a number of work streams behind the scenes and I’d like to just talk about three of them today; productivity, offer and property. The productivity is about having a simpler more efficient business for our customers and for obviously for our colleagues. The offer we need to have a more customer focused offer in a number of areas and property over time we need to adjust the portfolio to reflect the changing environments. So I’ll spend a little bit of time on each one but first of all I'll just talk about productivity. Improving our productivity is great for our customers and it’s great for our store colleagues, we have become too complex, it makes it simpler and easier to shop in our stores and it simplifies the supply chain. We currently have four productivity projects which we’re trialing in six stores over the first half, over the second half I should say. And these include store-friendly deliveries and better labor scheduling. Now store-friendly deliveries, there’s two elements to that, they’re making sure that the volumes of stock arriving at a store everyday are effective to allow the store to be efficient and at the moment in some cases the volumes can vary by 70% from one day to the next and the stocks arriving at the backdoor and of course the labor doesn’t vary by 70%, they were fixing that in the trials. The second area is working on as it arrives in the store is it in a way that’s easier for the store colleagues to distribute and again by working on how we segregate the stock in the distribution center and as it arrives in stores we found that we can take 30% of the time out particularly the labor to getting that stock on the shelf. And of course that’s very good for our economics but most importantly it’s very good for our customers and particularly in a world of click and collect where you want to get stock on file and on the shelf not in the back of the store quickly. So, we’re doing a lot of work on that, the second area that we’re working on and where there will be material benefits is the labor scheduling. We have a complex business we’ve got 19 different businesses quite seasonal and they operate in different ways depending on the time of the year. I think we’ve got a reasonably diverse store portfolio so it’s reasonably complex, different stores, different categories, different seasonal trend. So, we’re working on getting the scheduling to match better to those profiles and the great thing is we save money and of course it’s better for customers so it’s a win-win. And while the productivity work is of course very, very important, we all know the future health of any retail business is dictated by the strength of the offer. And in March, I said that we’ll perform work on all 19, if you like shops with shop and just look at from a customer point of view, look at it from a competitive point of view and look at it from an economic point of view. And that work is now well advanced and we’ve got five trials in six stores during the second half. I’m just seeing how we implement that in the stores and what we learn. The early results are encouraging as we reduce the number of SKUs in the store, we give more space on shelf for the high-selling SKUs and will give us the opportunity to bring in new SKUs and of course, we then have expanded ranges online but we’ll talk more about that when we’re all together in October. This is the framework if you like that we’re using as we look at improving our offer and I thought it it’d be just worth explaining to you, it’s a reasonably complicated charts, so apologies. But if we start and work across the slide you can see we start by reducing unnecessary duplication of stores and there’ll be some cost to that as we take stock out of the stockpile, but of course there will be a working capital benefits. This gives us more space for the high-selling SKUs, more shelf space, it also gives us the opportunity to introduce new products easier because there is space available for them in the store. And that allows us to sell more to more customers. We then grow the volumes of a smaller number of SKUs which gives us efficiency in supply chain and efficiency in purchasing so we can lower the cost with our suppliers and then we can choose to if we wish to lower the cost, prices to our customers and grow volumes further. In the first half, you will have seen some of this in action. We lowered prices, we grew volumes and at the same time we increased profits. As we engage with our vendor base, we were clearly excited about the fact that our biggest customer is growing again. And following this framework in the future I think the shape of how B&Q's profit will grow, we’ll see volume growth, we'll see margin cash growth and we’ll see productivity benefits rather than percentage margin growth. Now there’s an awful lot of work to do. 40,000 SKUs, 360 store combinations, we clearly need to balance speed with execution in this. So we’re planning to do this over three years, it won’t happen exactly like that we all know that we’ll iterate we’ll learn, we need to leave enough time in the timetable to take the learnings from the trails, take the learnings from pilots and implement them but we started up and I’m very pleased with this. Now one of the most challenging categories that we have as we do this work is kitchens, and what I know you spend a lot of time thinking about. We are the number one retailer for kitchens in the UK, we have strong brands both in B&Q but also in Cooke & Lewis which customers recognize. And we have a very competitive position on price, on quality and on services like installation. But we have underperformed in the first half as we know. We over promoted and then we had another hiccup where we had some issues with supply where a key supplier had some fires in their factory. That led to more volume than we anticipated and we let customers down with delivery time. So with that have looked at what happened in the quarter four, quarter one we’ve changed a number of the kitchen theme; we immediately took the foot off the peddle to say we don’t want to be driving poor customer service and experience into the business and we stood back and did a very detailed piece of work to really understand the root causes of the challenges and what we might do to improve that business and a lot of work by lot of people behind the scenes on that. So we’re going to make a number of changes in the kitchen business. And we’ll take a little bit of time because of the size of the space and the sheer cost and execution of the changes. We will launch Every Day Great Value message, emphasizing simple, honest, clear pricing. And it’s not all about price of course it’s about value, it’s about quality and it’s about the service. We will launch a new web tool next year which will make it easier and quicker for customers to get a high quality design for the kitchen. And we’ll introduce a more rationalized range which will remove duplication of slow selling SKUs, it will also introduce some new choice and that will allow us to buy better and offer good prices to customers. This will start next year but the physical changes will take some time to implement. And then in time we will move to a regional distribution model, this is better for customers because we’re giving better service and actually it’s more efficient for us as well. And again that work will start because of the scale of the change that will take couple of years to implement. So I’ve talked about the productivity work and talked about the offer work. I’m going to say a few words about property. Our store portfolio has been changing but it's challenging to change our store portfolio as quickly as we’d like because we’ve got 90% of our stores are leased and there is long contracts on average eight years left on the lease. I want to accelerate that and to do that I’m delighted that we’ve got a new Property Director coming to join the B&Q Board in the next couple of weeks; Grahame will join us. He is currently Group Property Director of Carphone Warehouse, previously worked in Arcadia; very high reputation, strong reputation in the property industry. And the property work that we’re going to do, there's two phases to it. Phase 1 is what we’ve called the Right Space, Right Place which we’ve talked to you about before and phase 2 is working through catchment by catchment. So let me just touch on each of those for a minute. Phase 1 Right Space, Right Place, this has been slower than we would have liked but when we’ve been able to do it as we did in Belvedere is working and Belvedere was more straight forward because there was a free health property. We’ve had two planning consents agreed, and two planning consents have been declined. Moving to big-box food retailing has become a bit tricky from a planning point of view. Overall we’re now expecting eight of the 18 stores about 2% of space to be agreed and that’s just over 500,000 square feet of space. Phase 2 is underway in the half, we performed very detailed work with the team, some of who are here today, going through store-by-store, catchment by catchment to decide what space we need as we transform the business for the digital age. As you’d expect from catchments we have too many stores and then some catchments outside the Greater London area, we’ve got too much space in those stores. So we’ve developed a detailed plan for each store in each catchment. These plans cover a number of areas some closures, some right sizes, some new format trials and some targeted reinvestments in what we're calling unloved gems, which are good performing stores in good catchments, but need a little love and attention. I will share more detail about that plan in March and in the mean time we’ll do some further trial work and we’ll do catchment trials in detail next financial year. I’ve talked about the work on productivity on the offer and property, just touching on something that Karen covered briefly the cost of this. This slide shows the exceptional P&L cost for the productivity work that I’ve talked about and phase 1, the Right Space, Right Place of the property work for both years, this year and next financial year. The positive strong payback all less than 18 months and the benefits will be reinvested in some of the work I’ve talked about particularly the offer work stream. The cost related to the offer work and to Phase 2 of the property work and the offer work that's particularly removing some of the duplicated SKUs or the unnecessary SKUs and the property obviously relates to things like rightsizing and we don’t have firm estimates of these yet. And that’s why we’re doing the catchment trials that’s why we’re doing the offer work, so as when we’ve completed that we will be able to communicate that with you. But on the top line estimates I believe the catchment investment is manageable for the Group. I started by saying the last few years have been challenging and I’m pleased that the team have reversed the momentum. In the first half focusing on as I said better retail basics, better executions and putting the customer at center of the business. The net result of this activity is in the first time in five years we’ve got more customers buying more products. We have momentum back in the business. It is early days but I’m encouraged by the number of important lead indicators as I mentioned and very pleased with the double-digit process growth. We have a clear plan to rejuvenate the business and we’ll talk more about that when we see you in October at the Capital Day and as we progress and obviously at the full year results in March. Thank you very much.
Ian Cheshire: Thank you, Kevin. And I just want to make two quick points on B&Q for count of rest. Firstly, I think the scale of the profit improvements come through in the first half by building back of bonus level on other cost is really encouraging and for the total UK business which is increasing the way we think about it because Screwfix and B&Q working so closely to get almost 18% profit increase. This occasionally portrays the business has got issues, no complacency but this is a strong business and it should be understood. But we will be looking for opportunities to improve it. We’ve got a lot of work to do and it is a five year program because the property issue is a five-year challenge rather than a one-year challenge, but it’s starting from a good place. Secondly on the property, again as being the old comments to the effect that B&Q haven’t done enough on property, I would just remind people that when I took over B&Q in 2005, I did actually shut 18 stores and we tried to right size a further 18 at the time. I wasn’t exactly trampled in the rush of people picking up our property and it’s not been a state secret that we could be interested in taking these properties on. So, this is a multiple year structural challenge, which really centers round the fact that we've got institutional leases that we can’t walk away from. I can't do a CVA and drop the leases. So we’re going to work on this on a very structural basis but this is one of the five-year programs that we looked at when I talked about the succession earlier. And it is something I think the team and I’ve got real a clear plan, which we will execute on. So I really congratulate the progress that Kevin and the team have made. And I think we’re off to a good start. But on the things we’ve said we talk about, in terms of the three bullet points, we've talked about B&Q Ireland and Karen’s taken the point on capital returns, so I was going to quickly go through the things we said at the beginning of the year would be our priority, easier in terms of Omni-channel, common sourcing IT, and then our expansion plan. So if I can start with the omni-channel, as Kevin mentioned, we’re in the process of cutting over from the old diy.com to the new diy.com which is the way that when we’ve done our website launches again with Screwfix and elsewhere. And that helps build up the traffic, test for any issues, and teach the search engine how to work, essentially. What we’re seeing so for I think is a much more capable and slicker side that can actually now, particularly be in traced into the business in a much more direct way and particularly driving click, pay and collect, which will go from next day ultimately to same day and a series design tools particularly on terms of either web based design tool for visualizing your kitchens, will come through over this next few weeks. What we are going to see this as it’s the base for the platform that we’ll talk about a minute project easier, which is the new systems platform for whole group. So we’re effectively taking the learning originally from Screwfix then into this Darwin project for B&Q, which will then be used for the application that we will then rollout around the group so that we don’t have to reinvest five or six times. The other news in the first half was that we continue to expand the click and collect trials in France. Multichannel has been slow to develop in France. The interest there is 0.56% in sales, in our category as opposed to over 6% probably in the UK at the moment. There is very different picture, but consumers are being trained by the grocers in somewhat similar way, you could argue what the grocers trained the home shopping and customers in the UK. And particularly the unique aspect in France is the drive format which is essentially drive-through pick-up which has become very widespread in France now and we’re now seeing that in Brico Depot with early good results in terms of average basket. And Castorama click and collect which we’re extending through and again early, early trial was so successful we need to just see how fast we can then roll it out. I know it’s a subject that Veronique is very focused on. But I think we are going to see based out of the UK because UK is the most advanced ecommerce market in the world. We’re going to try and use that strength and scale to go further with this development as we go through the year. In terms of the sourcing program, the top line numbers don’t look like they have moved much in the first half and they haven’t. What I would say is that the numbers would probably never go in perfect straight line there is a lot more activity now in the second half notably the launch of Mac Allister power tools and the hand tool range which is just started in Screwfix. Screwfix is the very first person to have that and that’s going to reflect the rocket. So we’re going to see continued progress and particularly we put together new online sourcing catalogue and we’re working much more directly now on accelerating synergies into the start of next year. So a lot more to do and Guy Colleau, the former CEO of Casto, France, has been working hard on that. On the IT program, the IT is now sort of seen as very glamorous undertaking and it’s traditionally also seen as a graveyard for CapEx in a lot of retailers, so it is important to stress why this is different. What we are setting out to do for the first time in Kingfisher's history is to create a single platform for the operating units across the Company, which should unlock significant common opportunities in terms of process and therefore cost opportunities as we go. What we’re trying to do there is build a real life working prototype. So there will be a store in the UK which will be fully functioning on the new platform next year has been put together with a team of over 100 around the group from all over from all aspects of the group from operations to finance to HR and put together in a way that allows us to demonstrate the reality of the system as opposed to a bunch of post-its on a sort of content wall. What that will allow to do once we build the prototype -- working prototype, that will allow much more rapid rollout and the first two businesses that will be prioritized will be B&Q UK and Castorama France which is obviously the bulk of where we make our profit. But the key for us is managing the risk by demonstrating a working pilot rather than trying to do some big bang system which we then find cripples the whole operation. We’ll also be doing this within the CapEx envelope that Karen had talked about before so there is no extra cost we’re essentially being able to afford this by doing a onetime solution which we can then partially that when we do the rollout of fundamentally use the same platform going forward and that again is a big cultural shift from Kingfisher from the decentralized OpCo to the integrated retailer of the future. In terms of organic growth we’re on track clearly Screwfix is being the main driver of that in terms of numbers but it’s also good to see further growth in Turkey and the new openings in Spain and obviously the new markets we’ve just talked about and that remains those opportunities. In terms of portfolio, we announced earlier on that we’d dispose of our stake in Hornback again a very amicable arrangement but a business, an investment in a business that while we respect it and like it enormously, we have no operational control of. So I think tightening up the portfolio there has been very important. In China we announced earlier on at the March numbers, March presentation that we would be starting the process of looking for a partner we’re now into that process and underway and as a series of conversations going on in preliminary exchange of information has happened. The early update I would suggest is that we are looking to get to a decision in terms of which way we go and which structure we do but before the end of the financial year but there are quite a few options as to which why we go on this. So, there isn’t a firm answer today but it’s going to be one or the other. But it’s clearly going to attract some interest not least because of the property value embedded in B&Q China. In terms of Screwfix Germany, you have to look quite closely to realize this actually is in German not in English because it’s Screwfix if you look at that and it looks why we’ve taken a picture of Tunbridge Wells or something and just airbrushed it in. I can assure you, I did visit it two weeks ago we’ve go there up and running and I think there is sort of few things to make. We’re doing this in Frankfurt, four stores to test different locations with hard marketing launch actually literally today. It’s a Screwfix offer and its 9,000 SKUs of which 80% are being locally sourced, it's very much built up locally. We will then over time look to integrate Screwfix range because of very basic things like minimum order quantities for some of the own label you can’t really do for four stores. But what we have is exactly the Screwfix model 100% stock available, slight difference in that Germany doesn’t allow Sunday openings so we won’t do that. But what I found quite extraordinary was that, we would be the first national retailer to offer next day delivery in Germany free as part of the offer. Amazon do a bit of it but they charge extra as a special service and this is I think an indication that even a big, mature, sophisticated market like Germany has room for an offer and I particularly congratulate the team at Screwfix to actually getting this going in relatively short order. I am walking with stores and talking to the people, I’m convinced this is going to work and it’s going to be a big success. Speaking personally as one of the team that originally bought the business back in ’99 when it was doing about 80 million to see it today, 800 million of sales probably this year record week last week of sales, opening internationally just got a fabulous future in front of it just a very well done and Steve and the team and Andrew the team at Screwfix should be very proud of what they've done. So, we’ll probably take some time to build up Screwfix Germany, trade is pretty conservative but it’s really well executed launch and I’m very excited about our opportunity there. In terms of Brico Depot revenue we touched on this briefly. This is acquisition of Bricostore which we effectively bought the business for the property value and then do this as a transformation to go forward. Those two first stores have performed probably slightly better than we thought over 20% uplift and what we now concluded the best way to go is faster and quicker in that transformation. Hence the one year impact in terms of the transformation cost, which we will then do basically six in Q3 and a further seven next year. What that will give is a fully functioning Brico Depot operation in Romania and as we said at the time of the acquisition it gives us some interesting opportunities to grow further both in Romania and in the related area but we think Brico are opening up a potentially interesting area of growth for us in the future. Mr. Bricolage is -- as we’ve made progress on since we last announced this is obviously a complex deal, we first of all had to get the agreement of the (adherence) [ph] the franchisees and the members of the Mr. Bricolage and broader family that was cleared we got voted on that in July. We’re now into an even more complex process which is French anti-trust which Marc Tenart is nobly leading. And there weren’t many volunteers for that particular topic and we expect to get clear indicative in probably about January which would allow us then to complete the purchase of the majority of the shares. We will then have to launch a squeeze out of the minority offer, a standard sort of piece but that will take us through probably just final completion sometime about March. Given that we’re going through antitrust, there is a limit to what we can provide in terms of data on this, but I will just say that the key stories here are in a market clearly a French market which is not growing that fast, if at all at this point, consolidation opportunities are rare and extremely valuable if you can execute it properly. The key thing for us is it potentially gives us up to 55 Brico Depot which then got just over 100 sites in France, a mixture of franchisees and direct owned, it's a massive, massive acceleration of Brico’s development opportunities. It also gives us a really interesting way into the convenience format, which we don’t have in the Group and we will be looking as a team, we’ve already set up a team with Souillard, Veronique, with Guy Colleau, myself and Marc to look at the totality of Kingfisher’s position in France and how do we match the brands on to the market. It gives us big opportunity in terms of synergies in their brand and particularly interesting I think along the term it really increases the number of pick up points across the whole France that we can reach and gives us a much, much faster move into the multichannel world that we’ll get on our own. And as I said before this effectively becomes a multiyear project including the Brico franchise which we’re developing and is probably two to three as conversion and integration a subsequent year or two developments. So again part of that five year cycle that we were discussing earlier on but the really important that for Kingfisher and one that when Veronique stands up here in March next year, I’m sure she will be able to talk more specifically about some of the financial target and the opportunity but I feel this is very strongly value creating deal for kingfisher. And so to some of the first half I think to see the underlying business up by 6% in terms of profit entity of strong cash performance despite some difficult market is really encouraging, the business is in fundamentally good shape. We’re still working as we have been and we’ll continue to work on creating the leader. I think there is a lot more opportunity in all the elements of easier, common and expand. We have not fished that by any means. I’m very pleased with the early signs of momentum back in B&Q and I think there are opportunities there to go further and faster and to emphasize the strength and we belief in confidence in the Group we are as we said restarting the multiyear program for the reaming 55 in this year and I’m sure the Board would look possibly the strong way to continuing that program. I think looking out the outlook is always a hard one to read. I mean I’m very pleased that we saw a better August but it is one month and we have to be a bit careful about the projections beyond. But I think having seen a very soft June, July to see reassurance coming back that’s great. I think the UK market is clearly on a more solid trend, we're always going to have a better month or a worse month or a good housing stat or a bad housing stat, but fundamentally it’s pointing in a good direction led by that small trade market which obviously helps particularly Screwfix. And I think if we keep on sticking to the knitting, remembering what we can do to drive our own destiny as opposed to hoping if the market will lift everyone up. We have a lot we can do in terms of value creation for our shareholders and a tremendous potential cash generative capacity over the next few years which means we should be able to fund both our investments for grow and continue to offer good return to shareholders. So I was going to finish up there, I just want to say one or two last words before I open it to questions and basically say, obviously this is my last time standing up in front you fine folks. And I’d like to say it’s been, its actually -- I’m amazed to find myself saying this, I will actually miss this experience. I want to say thank you for the challenge and the thought provoking questions that we’ve had over the years and I’m sure Veronique will have fun dealing with this process going forward and certainly internally, the worst part about stepping down is that this is a great business, it’s one I've really enjoyed working on. I think the people have been absolutely fantastic. So if I know there are some watching here through the web and I just want to say it’s been huge honor. So with that I think we will cut over to questions and I will get back to you. Thanks very much.
Warwick Okines - Deutsche Bank: Warwick Okines from Deutsche Bank. Two questions on two topics please. Firstly just on current trading. Having traded through June, July and August, have you got any clear idea as to why trading turned down so sharply in June, July? Perhaps you could just talk about how you think your Polish market share has trended through that period. And then also comment whether you could give us the B&Q like-for-like in August please. And secondly question for Kevin I think on the value perception chart that you showed, it’s quite interesting how the value perception has actually widened between home base and B&Q in recent periods. I’m just wondering what your thoughts on why that’s been and exactly how you’re focused on them or which category you focused on to close that gap?
Ian Cheshire:  So we don't normally disclose August trading and we’ve got drawn into how was last week of this trade. So if I could just say that the two things we saw in June and July was French market, which looked like a bit of an air pocket and a slight slowdown in Poland, but that’s been reversed quite sharply in August. So I think there is always going to be a degree of volatility and we’ve seen patterns of that. I think the surprise was that we had a pretty solid start to the year. We then hit June, July market minus four then minus six in July. It did look like literally just a bit of a consumer caution, a bit of a timing difference in some areas and I think August was an excellent performance by (Vero) [ph] and the team in particular to coming with a number that was up against pretty strong comparative from last year. And has given us some encouragement that yes, the market is not easy but it’s a not a softer term. But I think we sell it. We know the market in France is soft. It’s probably a little bit more volatile than we originally thought, but I don’t think it’s fundamentally trending one way or the other. And the reinsurance of August is there and in Poland, I think there are just good month/bad month. I don’t think there is any more than that. The only issue on market share for us in Poland is that we haven't been opening as many stores as some of our competition, so the like-for-like I’m pretty happy with, there is slightly the high end on the opening program, but we’re also about to kick off the whole range of rebound. So there is work to do but I am pretty happy with where we’re in the Poland of the month. And I think it’s the crystal ball on France, I'll get maybe Veronique, as the owner of that particular said crystal ball might want to talk about France briefly, but it is not an easy market at the moment but it’s not as bad as I think the sort of back to front data for certainly July might have indicated.
Unidentified Company Representative: It’s a number of factors. It’s taking in the prices, (2500) [ph] price reductions. The top 50 will definitely have impacted it. And actually an interesting fact on the top 50 when we compare with the number of retailers every week, that’s perception we’re talking about, that's the reality when we started the half, we were about 30% lower on the like-for-like product on Amazon, and finishing the half we’re on parity with Amazon. So that’s affecting obviously perception out there. The door busters relatively has helped, removing all claims would have helped, and the clearer POS in the stores, there is going to be a combination of all those things.
Ian Cheshire: Perception has improved and the base graph of this how we portray that and I think it is important to say that we’ve had areas where we’ve had occasionally good pricing, but it hasn’t been received. We’ve had areas where there are issues on the pricing. I think we’ve acted on a number of those and I think the perception is clearly tracking the right way.
Warwick Okines - Deutsche Bank: All right just really quick on French housing market. Could you talk about whatever forthcoming government initiative there may be and how they may help to stimulate permit of construction in the market particularly into next year please?
Ian Cheshire: I’ll add something. I’d make two points. Firstly, the French housing market was originally much more resilient between 2008 and 2011 and some of the old schemes helped to support it and then for the last two years, the schemes were changed and have not worked and we’ve seen the housing market going backwards, permis de construire back by 20%. New houses are down significantly, total housing market down a bit, but the transactions just going nowhere, so it is clearly a big issue in France. The second point is that in the last month, I've started to finally hear the French government talking about doing something about it. And we’ve been writing lots of helpful notes to them suggesting a whole pile of things they could do about it. But the new Valls government is a very different animal from what we’ve seen before. The problem is we don’t know how much they can actually get to happen. But the words at least have changed quite a lot. At the moment, I would not assume a great housing market but I think the government are focusing on it has something to do. But it’s going to probably remain tough for the next six to 12 months.
Veronique Laury: Anything, I think the second hand market is quite, is not that bad that as it was. The problem that we have is in new homes market and as Ian said due to the renew, the fact that they want to change things and they’ve announced some changes, but we haven’t seen anything concrete for the time being, so particularly should be waiting.
Warwick Okines - Deutsche Bank: What's the most significant potential boost in your view to the market?
Ian Cheshire: There is no single block buster measure, I mean, there is about seven measures we’ve seen and to be honest one of the challenges of trying to assess it is a bit like the tax deal that was on social contributions what was announced and then will actually happen was a quite long way apart in terms of when you got to the detail. So we’re in the -- let’s look at the detail. I mean, I just at the moment take encouragement that the new government has understood it needs to something, the query will what’s the most productive -- the planning arrangement, the financing with tax measures and I think we do need to see a concerted effort on that. So I think it will clearer over the next two or three months. I don’t think we have to wait forever, but right now there’s no one single answer on that one.
Jamie Merriman - Sanford C. Bernstein & Co., LLC: Jamie Merriman from Sanford Bernstein, my question is about the UK, when we look at the housing data for the UK, why wouldn’t necessarily the all of the momentum was isolated in London and the Southeast, clearly that’s where housing has been strongest. And I was just wondering if you could comment about B&Q and whether you’re seeing the same thing play out in the B&Q business or whether you’re starting to see some pick up from the non-London region?
Ian Cheshire: Yes, the slide I showed there just looking at where the sales are coming from, where the growth is coming from I guess points to we’re seeing it at the harder, smaller trades inside initially from the DIY so it’s a general point across the UK but just what we said we thought we would see that we see starting first and as people start to transact six, seven, eight months later we’ll see more of the softer retail DIY coming through and we do clearly have and a greater spread across the country and in fact compared with some of our competitors we've got a smaller concentration in and around London. So, for example Homebase is like-for-likes will absolutely benefit from the fact they’ve got more stores inside the M25. So, yes we’re seeing those trends. It’s interesting (I actually saw the staff) [ph] at the weekend the change in house movement since 2007, is quite clearly London’s a completely separate world.
Tushar Jain - Bank of America Merrill Lynch : Thank you, this is Tushar from Bank of America Merrill Lynch. Just wanted to understand on direct and common sourcing, I do understand you’re going to have a little bit of expectations in the second half. How can we see that moving in next two years I know your target is roughly 50% over the long term but how do we see that happening over next two years? And the second question is, it seems there is too much happening with the Germany launch Romania IT systems being rollout. What kind of -- do you think there is too much happening in the group itself that might be creating some confusion including UK, changes in the UK B&Q and what are your priorities when you rank all these things?
Ian Cheshire: Yes, I will deal with the last question first, obviously there’s so much going on I felt exhausted and had to run for the exit. No, I mean we’re all big grown up people and we’re confident retailers and know what we’re doing, each person has got different types of activities going on. The team for example with Steve Willett doing project easier on the IT is drawn from all around the group but it's totally focused on that for the people there are not trying to do other things. The sourcing and commercial teams are working very hard together on the common product, that is clearly their priority. The guys doing Screwfix off in Germany are from Screwfix. We’ve actually what we’re trying to do is use each element of the group to generate growth or cost and margin opportunity and I don’t think in a group the size of Kingfisher you can have just one project going on at any one time. These are the things that we do need to have and we’ve debated the strategic priorities at the Board and at the group executive level and we’re very clear on that, actually what I think we have got is the most coherent set of plans that I’ve seen and for the first time again in 17 years of people talking about common systems I'm actually seeing it happen for the first time. So, I think a lot of these things are absolutely the right thing to do, we’ve got enough bandwidth to do it and I think most importantly we’ve got the talent in the business to do it and I think it is human capability that's the bandwidth limiter. But it’s a question that we’ll always ask ourselves and challenge and the board provides that challenge. In terms of -- the other one was the direct sourcing. On direct sourcing, I probably don’t want a sort of nail down a six months by six months sort of percentage target but those direct and common have a lot further to go, we have individual OpCos who have over 30%, 35% direct sourcing and there are over 25 maybe 30 and again Screwfix is one of [indiscernible] for that. What it is, is a process of -- the rate at which we can go is driven by the rate of range review and we have deliberately slowdown the rate range review to avoid some disruption last year is coming now in another wave and it won’t ever go in a perfectly set line. It’ll be very much when we do the paint tender, that’s a big jump up, we do power tools, that’s a big jump up. What I am absolutely clear of though is that with Veronique driving the group, she’s coming from exactly this area of expertise and it was really her work three or four years ago now which set up the common brand. So, I know we’re moving on to a phase where the person probably with the best qualifications in the group is going to be supervising it. So I’m very confident there's a lot more to come and if anything, my guess would be that Veronique might be even a bit more radical than I’ve dared to be, so I look forward to that.
James Grzinic - Jefferies & Co.: Yes, morning, James Grzinic from Jefferies, just a quick one, do you -- given all the changes, do you feel that the structure of the LTIP is still valid? Do you need to relook at that, do you need to rethink of triggers and et cetera?
Ian Cheshire: I think that will be an excellent question for Veronique and the Board, as I won’t be guessing any. I will leave that one for them and we’ll look at it every year the structure but I think it’s quite important that you don’t rewrite your incentives every time something changes. I think you'll have some consistency. But at the moment the LTIP is designed to reward for creating value and creating growth. So I think it’s in the right place.
Chris Chaviaras - Barclays : Chris Chaviaras from Barclays. Three questions on B&Q all of them. The first one on the stores that you’re thinking of closing and even though this might take some time, can you tell us how many stores are unprofitable or at least give a sense of the underperformance of the tail end of your stores there. And the second one on the kitchen sales, actually I see Kevin that you return back to the EDLP, but there were more promotions done in the first quarter, so is it maybe that customers do want the promotional environment? What makes you to think that now giving up on promotions and keeping this everyday low price will actually mean (the same?) [ph]. And the last one on marketing spend, can you give us a sense of how down that was year-on-year on percentage terms and also on absolute value and where this is versus the average?
Ian Cheshire: The first on store closures, clearly we have plan for each one; we know what’s going to be closing, we’re not disclosing it today and there is a couple of reasons for that. One primary reason is its much better to negotiating; some people don’t know what we’re trying to do. And so I don’t want to give Grahame a very difficult job; he has already got a challenging job by disclosing what we’re trying to do. But clearly we will look with each landlord, we’re looking at it catchment by catchment and we’ll look at it with British Land, with Hammerson et cetera. We’ll look at it with different retailers as there is lot of discussions going on but they’re obviously confidential on the side of the stage. But I do think it’s manageable and there is a -- I think the concern out there, this is some -- it could have to happen over five years, it’s just can’t happen much quicker in any one year, it’s manageable from a cash point of view. And you mentioned EDLP, it isn’t EDLP, so it is every day great value and I keep repeating that in the business. It’s not about price, it’s about value. And so it is about price of course, you’ve seen a lot of work we’re doing on price, but it is about quality. We got more to do on quality on the ranges and it is about service. So that’s what B&Q is about, people don’t want to buy cheap stuff from us, they want to buy good stuff. And I think this time it’s difficult, we believe it’s sustainable, I believe its sustainable and it is sustainable to keep doing 60% off, 10% off, and we’ll give you a small child on the last day or something. Customers are seeing, in a world of the internet they can see that we’re seeing the problems the furniture retailers getting with that type of marketing. The successful players in the market don’t do that, and if I look at Howdens and IKEA, but it’s not an easy move so we’re working hard behind the scenes to how do we make that move. I think this time it's more sustainable because we’ve changed the whole store, so the last time we did everyday low prices is for kitchens, you walk into a store you have 20% off here, 40% off, three for two, lots of claims all over the store, it’s now consistent across the stores. I think it allows people to believe that the brand is giving them good price every day and of course there will some promotions, there will be something whether it’s a deal on a work top or a deal in appliance or something, because you’re doing to close the deal but it isn't a 60% off, plus an extra 10% because it's just not credible you just look right now if you go on kitchen and company and look at you can just see a number of retailers out there just increase their prices, dramatically to then we drop by 60%, consumers will see through that in due course.
Unidentified Company Representative : On the property front, we’ve said publicly that we felt there was may be 15% or 20% of space that can come out of the total space, but you can’t do that easily. And there are no loss making stores that are actually making some sort of contribution. So from our point of view the economics of this are extremely difficult because we do have a value destroying store, but you can’t generate, the numbers are so awful that you can afford to pay the landlord to take it away because you still got a cost on lease. And from our point of view, we’ve been working on this for a sufficiently long turnover, we’re going to have to do side-by-side, place-by-place. We don’t have an easy out of it with a bunch of lease renewals; we’re talking about eight, nine years so Vero's going to have to do eight, nine years to sort of make sure she get rid of the tail of the stores in that case; no pressure. As far as marketing, we don’t disclose the amounts, sorry.
Unidentified Company Representative : (Inaudible) when I was talking about health measures and that was very much in the context of the work that we do on goods not for resale and more effective marketing, it wasn’t a comment about starving the businesses of the funds that it needs, more effective by.
Tony Shiret - Espirito Santo: Thanks. Tony Shiret, Espirito Santo. First of all, congratulations on your retirement, sorry to see you go and all that. And if you need a successful age related lawyer see me afterwards. Moving on to the question, in term just developing this property angle, can you remind us how many of the stores in place you actually opened as joint food retail, the overall stores? And secondly on phase 2, can you give us some idea of the assumption you’re building in for sales retention on the closed stores from these catchments, a couple of detailed ones? And lastly, have you actually impaired any of these stores in your account, bearing in mind how, subject to answer part one, you haven't been very successful at doing this whole thing so far and if you haven’t impaired them concurrently, how should you look at the impairment?
Unidentified Company Representative: Tony, we haven’t impaired because we don’t need to impair the concurrent [indiscernible]. There is no requirement to do it. Technically, they don’t require impairment.
Tony Shiret - Espirito Santo: I am sorry I mean what is the tax that we can work it out for ourselves?
Unidentified Company Representative: I think we’ve spoken about exactly how we do. But effectively you’re looking at long-term cash flows of the stores, and the value you’re carrying them for. And our stores make positive contributions. As Kevin said, we look at this every year and we don’t need to impair.
Kevin O'Byrne: I thought that just that they were value disruptive.
Unidentified Company Representative: [Indiscernible] if you have -- and this is a part of the tail not all, but if you have a store making positive contribution and it’s got positive cash flow, you wouldn't impair it. But it could still be value negative in terms of capital out lease obligation that results in terms of trigger impairment.
Unidentified Company Representative: And going back to the first part of your question, we've done one properly, which is Belvedere where we’ve actually got ASDA open up next door. We opened Norwich a few weeks ago with Morrisons haven't even started to fit out their half. In effect we don’t have this complete as open a couple of weeks, but we don’t have a tenant next door, so this one is complete which is where it seems at 17%.
Tony Shiret - Espirito Santo: When you start doing it, sorry, I seem to recall this in a previous slide. When did you start the program?
Unidentified Company Representative: We have set the planning about two years ago. We then go through negotiation with the landlord, negotiation with the other half then we have had two years of planning. And there is ultimately the thing that shifted and there is frankly disappointing is the planning environment has killed a number of these deals. That means we just have to keep working harder, but if you’ve got solid institutional leases that you can’t get out of and we’ve got stores that are generating cash flow, so it’s not a disaster zone. You’re in that middle ground where you can’t easily throw money at the problem and it takes time.
Unidentified Company Representative: We're trying to learn from past mistakes, which is why we’re not saying and also what we're doing right now because we need to do some stuff and then we’ll tell you about it.
Paul Steegers - Bank of America Merrill Lynch: And good morning, it’s Paul Steegers from Bank of America Merrill Lynch and as someone who is new to this industry, my question is a simply one, it looks to me like your margins over the last few years have actually done all right certainly close to your targets in the UK, Poland good, yet your returns don’t look particularly impressive and your lease adjustment certainly not that impressive in my view and correct me if I’m wrong, and as you grow, can you give us some indication of how you look at growth CapEx returns and where do you see sustainable returns from capital going forward?
Ian Cheshire: Kingfisher is essentially -- if you think about it in three different lumps from returns point of view, you’ve got the UK which is a massive capitalized leases and by far the biggest lump of invested capital, which is going so far as to just stuck-in currently the institutional leases that we can’t get out of. So while in returns over the last five years in the UK as Kevin said have improved significantly. The amount of capitalized leases have not materially come down. Now over a period, they will start to do that and longer term Kingfisher essentially needs to sort of deleverage invested capital out of the UK and invest in the growth entities that it's got notably Brico and Screwfix. So, there is a historic reality of the dead weight to have invested the capital that just does not disappear. And much that everyone would like to find the magic wand that makes it disappear unless they dis-invent the institutional lease in the UK it can’t happen. And the stores, as I said, I mean irony is, if we were losing a pile of money and I could create a CDO, which is what we ended up doing in Ireland. We do it but you just can’t, but that’s a gradual run off of invested capital. And you’re not putting more money into that model, so this is capital coming out. The second area is high return areas like Brico and Screwfix where we are absolutely in fantastic returns, very high returns. And the question is can we just have more of them which is why Mr. Bricolage is important to Brico, and why we're expanding throughput. Third areas, there are some geographic areas of further big box expansion which we’re interested in, where the returns are excellent, they would be Poland, Russia and Turkey that we will continue to invest in those. But we have courtesy of Karen and the team at Paddington, a very strict returns policy. We’re allocating investment to the future in high return, it’s prioritized, its post investment checked. And we are very rigorous about the discipline. And one of the things I did early on in 2008 when I took over just put everyone on a CapEx diet and make sure the returns are going -- the investment goes where the returns go. What you can’t see what you are right to say is the total returns, but they’re so driven by that historical lump of UK capitalized leases that that's just too big a number to shift and no matter how brilliantly we do in the small investments in Brico and Screwfix and elsewhere. So it’s going in the right direction and again over an eight-to nine-year period, I think you’ll see a transformation of the shape but it’s that UK heritage.
Unidentified Company Representative: (Inaudible) presentation from two prelims ago, pretty much everything that Ian said is actually described in there. Takes a look at our capital structure, takes a look at the way that we govern our capital expenditures and it takes a look at where we want to invest those CapEx going forward.
Daniel Bernard: Okay, well thanks very much and I won’t see you again but Veronique will see you here in March. Thanks.
Operator: Thank you. That will conclude today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.